Operator: Greetings, and welcome to the Global Medical REIT Second Quarter 2022 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Steve Swett, Investor Relations. Thank you, Mr. Swett. You may begin.
Stephen Swett: Thank you. Good morning, everyone, and welcome to Global Medical REIT's Second Quarter 2022 Earnings Conference Call. On the call today are Jeff Busch, Chief Executive Officer; Alfonzo Leon, Chief Investment Officer; and Bob Kiernan, Chief Financial Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements which are not historical facts and are considered forward-looking. The company intends these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995 and is making this statement for purpose of complying with those safe harbor provisions. Furthermore, actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of factors that are beyond the company's control, including, without limitation, those contained in the company's 10-K for the year ended December 31, 2021, and its other SEC filings. The company assumes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise.  Additionally, on this call, the company may refer to certain non-GAAP financial measures such as funds from operations, adjusted funds from operations, EBITDA REIT and adjusted EBITDA REIT. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP numbers in the company's earnings release and in filings with the SEC. Additional information may be found on the Investor Relations page on the company's website at www.globalmedicalreit.com.  I would now like to turn the call over to Jeff Busch, Chief Executive Officer of Global Medical REIT. Jeff?
Jeffery Busch: Thank you, Steve. Good morning, and thank you for joining our second quarter 2022 earnings call. After a strong start to the year, we continued to produce excellent results in the second quarter while growing our portfolio further with more than $74 million of acquisitions in the quarter. With respect to earnings, we increased our total revenue by 19.2% compared to the second quarter of last year to $33.7 million. And our net income attributable to common shareholders was $2.2 million or $0.03 per share. Our FFO was $0.24 per share and unit, and our AFFO was $0.25 per share and unit, both of which were up $0.02 compared to the prior year quarter, reflecting the continued growth of our portfolio.  As we've discussed recently, the acquisition environment for our target assets remains very competitive, but we continue to effectively source new opportunities. We closed 5 acquisitions for $74 million in the second quarter and have closed another 2 acquisitions for $23 million so far in the third quarter, with an additional $50 million of deals under contract and in due diligence. In addition, we're starting to see the effect of rising interest rates in the acquisition market as the weighted average cap rate on the acquisitions that we closed so far in the third quarter has risen to 7.3% with an estimated weighted average cap rate on our $50 million properties under contract is 7.4%.  Based on this activity and the type of opportunities that we are seeing, we feel very strong about our full year pace of acquisitions and our ability to be selective and continue to grow accretively. In order to accommodate this growth, on August 1, we expanded our credit facility with a $150 million delayed draw terminal. We also entered into swap agreements, which provides stability in our interest cost as we plan for the future.  Bob will provide additional color on our debt activities later. I am pleased with our second quarter results and want to thank the team for their hard work and contributions to our performance. With that, I'd like to turn the call over to Alfonzo to discuss our investment activity in more detail.
Alfonzo Leon: Thank you, Jeff. As Jeff mentioned, the market for medical facility remains very competitive, but through our diligent sourcing and underwriting efforts, we continue to successfully acquire high-quality properties. During the second quarter, we completed 5 acquisitions containing just over 255,000 leasable square feet for an aggregate investment of $74.1 million at a weighted average cap rate of 6.9% and an average 88% occupancy. As I will discuss, 4 of the 5 properties have 30,000 square feet of cumulative lease-up potential. These acquisitions included: a 40,200-square-foot surgery center in Fairbanks, Alaska, for a purchase price of $22.3 million with a cap rate of 6.4% at 96% occupancy; a 33,200-square-foot medical office building portfolio leased to Novant Health and Rocky Point, North Carolina for a purchase price of $7.6 million with a cap rate of 6.6% at 91% occupancy; a 96,100-square-foot medical office building in Fairfax, Virginia for a purchase price of $21 million with a cap rate of 6.3% at 82% occupancy. This property is within the Fairfax Medical district anchored by the 910-bed Inova campus.  As part of the acquisition, we budgeted to renovate the lobby and building facade. We are currently in discussion to lease up approximately 60% of the 19,000-square-foot vacancy to health systems and prominent physician groups. An 18,400-square-foot surgery center in Lease Summit, Missouri for a purchase price of $6.6 million, with a cap rate of 7.5% at 100% occupancy and a 4-property center portfolio in the Lexington, Kentucky area, containing an aggregate 67,300 square foot for a purchase price of $16.6 million with a cap rate of 8.3% at 91% occupancy.  Additionally, as Jeff mentioned, so far in the third quarter, we have acquired 2 properties for an aggregate purchase price of $23.3 million, including: a 110,800-square-foot medical office building portfolio in Toledo, Ohio for a purchase price of $17.2 million, with a cap rate of 7.1% at 84% occupancy and a 22,600-square-foot medical office building in Lake Geneva, Wisconsin, for a purchase price of $6.1 million with a cap rate of 7.8% at 100% occupancy.  We currently have 4 properties under contract for an aggregate purchase price of $49.8 million at an estimated weighted average cap rate of 7.4%. These properties are currently in the due diligence period and subject to customary closing conditions. With over $171 million of acquisitions closed or under contract so far in 2022, we remain comfortable with our target to close between $180 million and $220 million of acquisitions for the full year.  With regards to dispositions, in the second quarter, the potential purchaser of a medical office building in Belpre, Ohio, terminated the contract due to financing market conditions. We remain very upbeat and confident in this property and our tenant, and this building is strategic to the tenant's plans regarding this campus. Subsequent to the quarter end, in July, we sold our medical optics building in Germantown, Tennessee, receiving gross proceeds of $17.9 million, resulting in an estimated gain on sale of $6.8 million.  I'd like to now turn the call over to Bob to discuss our financial results. Bob?
Robert Kiernan: Thank you, Alfonzo. GMRE continues to benefit from strong relationships with our tenants and solid portfolio performance. At the end of the second quarter of 2022, our portfolio included 4.7 million of total leasable square feet, 96.5% occupancy, 6.7 years of weighted average lease term, 5x rent coverage with 2.1% weighted average contractual rent escalations. In the second quarter, we achieved 19.2% year-over-year increase in total revenues to $33.7 million, driven primarily by our acquisition activity over the past year. On a same-store basis, our second quarter revenues were up $361,000 or 1.6% compared to the second quarter of 2021. Our total expenses for the second quarter of 2022 were $29.9 million compared to $24.1 million in the prior year quarter. The increase was primarily due to higher operating and depreciation and amortization expenses due to our larger portfolio.  G&A expenses for the second quarter of 2022 were $4.3 million, in line with both the prior year quarter and with our expectations. Within our current quarter G&A expenses, note that our stock compensation costs in the quarter were $1.3 million and our cash G&A costs were $3 million. Looking ahead, we continue to expect our G&A expenses to be between $4.2 million and $4.4 million on a quarterly basis during the remainder of 2022 even as we continue to increase the size of our portfolio.  Our operating expenses for the second quarter were $6 million compared to $3.3 million in the prior year quarter, with the increase in these expenses being driven by the growth in our portfolio and, to a lesser degree, the impact of gross leases.  Regarding the second quarter 2022 expenses, $4.4 million relates to net leases where the company recognized a comparable amount of expense recovery revenue and $1.1 million relates to gross leases. Approximately half the remainder of these expenses related to vacancies and properties accounted for on a cash basis.  Our interest expense in the second quarter of $5.4 million reflects a weighted average borrowing cost of 2.97%, up only slightly from 2.87% in the first quarter of this year. Looking ahead to the third quarter, based on recent increases to rates, we're forecasting our weighted average borrowing cost to increase to be between 3.5% and 3.7%.  Net income attributable to common stockholders for the second quarter of 2022 was $2.2 million or $0.03 per share compared to $2.6 million or $0.04 per share in the second quarter of 2021. FFO in the second quarter was up 16% to $16.4 million, and our AFFO was up 17% to $17.6 million compared to the second quarter of 2021. On a per share basis, our FFO was $0.24 per share and unit in the second quarter compared to $0.22 per share and unit in the second quarter of 2021, and AFFO was $0.25 per share and unit, up from $0.23 per share and unit in the prior year second quarter.  Moving on to the balance sheet. As of June 30, 2022, our gross investment in real estate was approximately $1.4 billion, which is up $184 million from a year earlier. Relative to equity, in the second quarter, we generated gross proceeds of $1.9 million through ATM issuances at an average price of $16.24 per share. As Jeff mentioned, on Monday, we amended our credit facility to add a new $150 million delayed draw term loan component with a maturity of February 1, 2028, extend the maturity of the revolver component to August of 2026 with 2 6-month company-controlled extension options; and lastly, convert all LIBOR-based loans under the facility to SOFR-based loans. This amendment enhances our liquidity and financial flexibility, and I'd like to thank our bank group for their continued support.  In connection with this amendment, on Tuesday, we entered into $150 million of forward starting interest rate swaps that commenced in October 2022 and mature in January 2028, that will fix the SOFR component on the new term loan through January 2028 at 2.54%. At our current leverage and including the 10 basis point spread adjustment that's associated with our conversion to SOFR-based loans, our interest rate on the new term loan will be 4.13%.  At June 30, 2022, we had approximately $660 million of gross debt. Our leverage ratio was 46.2%, and our weighted average interest rate was 3.14%. The current unutilized borrowing capacity under the credit facility is $273 million, consisting of $123 million of revolver capacity and a new $150 million delayed draw term loan. Additionally, the pro forma weighted average remaining term of our debt, assuming the new term loan is strong, is now 4.3 years.  Overall, we continue to believe we are well positioned to execute on our acquisition and overall business strategy and look forward to sharing our progress with you through the balance of the year. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Austin Wurschmidt with KeyBanc.
Austin Wurschmidt: Jeff, you and the team seem fairly confident in your ability to hit the acquisition goals for the year, but presumably that the leverage ratio is going to migrate towards sort of that upper threshold of your target. So I guess I'm just curious how willing are you to primarily debt fund future acquisitions and push up on that high end of the leverage range.
Jeffery Busch: Bob?
Robert Kiernan: Yes. I'll start this, Austin. So we still have a target leverage of 40% to 45%. But with the market conditions that we're in now, we're comfortable kind of moving above that target or being above that target and just being patient and opportunistic about our acquisitions. And we're largely in the same place we've been for the last few months in this type of market and evaluating our options for moving forward.  We can temporarily run leverage a little bit higher. We have the ability to sell assets to the extent we see really good opportunities on the acquisition side to make changes in the portfolio and just really take things as opportunities present themselves. So we're comfortable kind of in this type of an environment being a little bit higher. But longer term, certainly, we're looking to be at lower leverage points.
Austin Wurschmidt: Understood. And are you guys currently marketing any assets today to sort of manage the -- be able to match-fund, I guess, any future potential activities if the capital markets environment sort of remain less favorable?
Jeffery Busch: Yes. We always have groups wanting to buy some of our assets. It's been an interesting part. I guess we have a lot of assets now, and we always have groups that are interested in our assets. And some assets, if we're not as favorable as we were in the future, there's other groups that may want to buy it. So we do look at that, we do look at that. We sold 1 last quarter, but partly that reason.
Austin Wurschmidt: Are you currently kind of remarketing the Belpre, Ohio asset that was terminated?
Jeffery Busch: No, no. That's a great asset. We only did it as sort of a favor to them. We love the cap rate that we have right now. The cap rate is -- our return is tremendous on that and it's very strategic for them. I actually personally expect them to come back at some point because that is part of their cancer center, and they want to do more things with that building and it's easier for them to own. So I do expect them to come back. But really, we did it as a favor to them more than as a profit
Operator: Our next question comes from the line of Connor Siversky with Berenberg.
Connor Siversky: Just in a similar line the question what Austin just asked, so I'm curious on these interest rate swaps. That only applies to the term loan portion of the debt stack, correct?
Robert Kiernan: Yes, Connor. So with -- if you think about where we were at kind of at June 30, we talked about our capacity today. If you look at kind of on a pro forma basis, we would have about a little bit more than 80% of our debt would be fixed and the remainder would be on the revolver and floating.
Connor Siversky: Okay. And just so we're clear, on future acquisitions, you can use the delayed draw portion of this fixed term loan to finance these acquisitions, right?
Robert Kiernan: Right, of course. We would plan to draw on the term loan at some point in the third quarter. And then we'll be, again, with those forward starting swaps, we'll be fixed on that element of our debt from there through its maturity to the end of January or February 1, 2028.
Connor Siversky: Okay. And then in terms of the revolver balance, I mean, I think it's sitting at about $260 million. And then in consideration of the forward rate curve, I mean, is there anything you seek to do here to bring that balance down?
Robert Kiernan: Well, I mean, so the term loan will bring it down. So that -- so the term loan will bring that down straight away. And that's the primary thing. So the other lever that you have is raising more equity. But again, from a debt perspective, we'll be at a little bit more than 80% fixed at the current -- currently.
Connor Siversky: Okay, okay. All right. I just need to put those pieces together.
Operator: [Operator Instructions]. Our next question comes from the line of Aaron Hecht with JMP Securities.
Aaron Hecht: Piggybacking on the new delayed draw term loan questions. Is there -- are there any covenants related with that, that are restricted as you get towards certain leverage thresholds?
Robert Kiernan: No, Aaron. So the delayed draw term loan was just done right as an amendment to our existing credit facility. There were no changes to -- really any significant covenant changes to the credit facility in connection with this. There are no changes to our credit spreads in connection with this. So it was really just, again, an add-on and just an expansion of the credit facility.
Aaron Hecht: And it sounds like you're going to move a full balance over to the term loan. I think it was $150 million. You just take that off the credit facility, the revolver and put it on the term loan and that creates more capacity on the facilities. Is that how that will work?
Robert Kiernan: Exactly.
Aaron Hecht: In terms of the MOB that you guys sold in Tennessee, what was the cap rate you got on that?
Robert Kiernan: I mean, I'll start here. The Germantown sale was driven primarily, Aaron, but this is a tenant in a facility that the lease was expiring in 2024, and the tenant was actively looking to -- at other opportunities to -- for their facility. And they had actually purchased land that was not very far from this facility and were looking to build.  And so when we got into discussions with them during the -- late in the second quarter, there was an opportunity for us to sell this at a good return for us. So that was the primary strategy on the sale. It was a solid cap rate for us as a property. And from a sales cap rate, I think it was a pretty -- it was a 8 type cap on the sale, but it was just -- the strategy there was more to really, from a potential issue, from a vacancy perspective, and it was really a win-win situation for us and the tenant in this case.
Aaron Hecht: And then last one, there's the asset...
Alfonzo Leon: Sorry about that. I was just going to add that going in, the cap rate was in the high 9s.
Aaron Hecht: Last one. There was the asset that you guys just purchased and had some upside through leasing activity. I think the rate -- the cap rate was 6.3%. What kind of yield enhancement are you expecting as you occupy that space? And are you going to look for more of these types of deals going forward?
Jeffery Busch: Yes, I'll answer that. We look to get about 1% more when we buy value upside. And these type of deals seem to be out there. Now I'm not -- we're not doing them again at 6.3%. This was an earlier deal that we did. So we're not doing those again. But we're moving -- as a strategy, we're moving our cap rates up to 7.5% and above.  But the properties that we do look for, sometimes, there's really super quality properties, like we got 1 in the Fairfax One, one of the top markets, right, by a hospital that just needed some improvements and some new marketing and possibly the ability of a stronger MOB-focused management as opposed to where they were. And we are looking at those assets and we are finding really quality assets, but we still need to be -- as the future goes, we need to be, let's say, buy something in the low 7s and be able to bring it up to an eight in a strategy -- a future strategy type of situation.  It is one of the asset groups that we're finding really quality properties that are just -- others don't want to buy vacancy. So therefore, even though it's a quality product and it's at a good rate, they don't want to put vacancy on their books. We're figuring we'll have it temporarily. We have a pretty good occupancy rate. And so if we could take some vacancy and then we fill it back up, we'll get back up to where we want to be with occupancy.
Operator: Our next question comes from the line of Dave Rodgers with Baird.
Unidentified Analyst: This is Daniel Hogan here with Dave Rodgers. I know you talked briefly about the leasing of vacant space in the place that you recently acquired. Have you seen any changes in the leasing velocity in those markets and with those acquired assets?
Jeffery Busch: Yes. Absolutely. It's very interesting what's happening is we're seeing better rates come in than we expected. I personally expect because I've been in this business a long time, given inflation and given everything else, our type of assets will start getting better rates. But there's also a lot of activity going on around these. The property that we got, the owner wasn't very good relationship with brokers in the market. He wouldn't pay them on certain things and it was like a whole.  So we basically came in there. We did the market, say we're doing the lobby. People complained about that and we're starting to get occupancy up. It's really a great opportunity for us. We won't do a lot of these because you really have to put a lot of time in, but it's worth the extra point, given this market.
Unidentified Analyst: Great. And then the follow-up, just is there any change in the types of assets you're acquiring or pursuing or just still looking for any viable opportunities?
Jeffery Busch: We look for MOBs primarily and then we buy similar to what we've been buying a part. But the 1 main element that we have out there is quality assets, quality assets and better risk-adjusted returns where we're able to buy now in the mid-7s or with value add, we get into the high 7s or possibly eight. So same strategy, we just moved up our numbers to reflect the cost of capital to be -- we've always wanted to be very accretive and we feel very comfortable about being accretive right now.
Operator: Our next question is a follow-up question from the line of Connor Siversky.
Connor Siversky: I'm just looking at Page 6 of the presentation, considering the different portfolio segments. I'm curious, like, are you seeing a different degree of cap rate movement for any particular asset class, whether it's MOBs or IRFs?
Jeffery Busch: Alfonzo?
Alfonzo Leon: Yes. So specifically between MOBs and IRFs, there's been more price discoveries on MOB than there has been on IRFs. I would say -- I would expect there to be a similar change, but I mean, there just hasn't really been too much that's been tested in the market thus far. If you think about it, it's only been since May that the market really started changing. And rehab hospitals don't come to market very frequently, and they usually come in waves and there will be periods where there really isn't a lot of any rehab hospitals to look at for potentially even months.  So there's been a couple but it's more on the development side, which -- that I've seen, not existing up-and-running rehab hospitals thus far. And pricing on development is going to be driven by different factors. So as of yet and as of right now, it's hard to say.
Connor Siversky: Okay. And then apologies if I missed this earlier, but some value-add opportunities were mentioned. Are these opportunities something that GMRE would look to fund and maybe lock in the yields on the development portion of the equation?
Jeffery Busch: That's possible, that's possible. We're looking for higher yield and keeping a low-risk profile. And so therefore, we do look at things like that. The value adds are very interesting to us. But you want to do a few, make sure they work as opposed to do a lot and maybe have difficulty. I mean, we're pretty confident and we're feeling good about Fairfax. The activity right away came in. But I want to -- I'm being very cautious with this also on the value add.
Connor Siversky: Got it, understood. And last 1 for me, I promise, just considering consensus NAV estimates right around $15 a share. Where the share price is right now, I mean, is a buyback under consideration? Assuming that you could sell off maybe noncore assets to fund it and not bring leverage up. But just wondering what the thought is there.
Jeffery Busch: It's not really because it goes totally against our strategy. We need to grow. So we need to grow for 2 different reasons: one, the bigger size we get, we get an advantage in multiple sort of compressors to what other multiples are, especially when we can get -- we saw it historically when we went over $1 billion, and then we saw it when we went under $1 billion. Some could hold us and some can't hold us at that level.  So we need to keep growing. We need first goal was to get back over $1 billion. The other goal is to get into the bonding market and we're not terribly far away. So if we can continue to do our growth of $200 million a year, that will be nice. So it doesn't really look like we're going to do a buyback.
Operator: Our next question is another follow-up question from the line of Austin Wurschmidt.
Austin Wurschmidt: I was just curious if you could speak to sort of the leasing backlog as it relates to more of the same-store assets, and specifically the 3 Melbourne, I think, Westland and Derby, where you'd talked about potentially re-leasing those later this year or early next.
Robert Kiernan: Yes, sure. Sure, Austin. So with respect to Melbourne, there's been some reasonable progress there, where we've got -- it's about a 70,000-square-foot building and there's 58,000 square feet of occupancy there. And we've got good visibility into getting that up towards like 40%, 40% to 50% occupancy right now. But some of those won't really come into the kind of fourth quarter of this year and into early next year. But we've had good -- there's good visibility into the property and expect to get more traction as the year progresses with the idea that it would become much more stabilized in 2023.  With respect to the Derby assets, that, again, it's still a work in progress. There's nothing new to report on that. And with respect to Westland, that's as much a tenant dispute as it is anything else. And we're really just working through the court system with that. And really, it's a $4 million building with again, the annual rent there is in that $400,000 annual range. And it's just been -- it's been a dispute with the tenant that we're working through the courts on. And nothing new to report at this point. I think we kind of -- again, we're making progress, but as with a lot of things when you're dealing with on the legal side of it, it can be -- it can move slowly.
Austin Wurschmidt: And then just 1 clarification on the Toledo deal. Does the 7.1% cap rate, does that include the lease-up to stabilization? And what's sort of the time line you expect to achieve that stabilized yield?
Robert Kiernan: Well, I'll start. I mean, the cap rates that there is what's in place today.
Alfonzo Leon: Yes. And in terms of the lease-up, I mean, it's -- I mean, what we're finding are properties that are not owned by institutional investors that are -- where they're having a constraint in terms of how much TIs they're able to give tenants and that's the case in Toledo. So we're pretty optimistic that with -- coming in with an institutional owner and mindset and capital for TI improvements, that the property will lease up in line with where it should be, given the quality of the asset.
Austin Wurschmidt: Got it. And then just last 1. Bob, could you give us the latest thoughts on the preferreds that are redeemable here later this quarter?
Robert Kiernan: Yes. So currently, there's no plans to redeem the preferred. I mean, we are -- the optionality moves to us starting next month, which is a positive. But in the -- with the current environment, that's not something that we're thinking about here in the near term.
Operator: There are no further questions at this time. I'd like to turn the floor back over to management for closing comments.
Jeffery Busch: Yes. I'd like to thank everybody and look forward to talking to you at the end of the next quarter. Have a good summer.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.